Niel Pretorius: [Technical Difficulty] There is nothing different to the format this time. We’ll be using very similar information or a very similar format to that, which we used in the past. There are a number of themes that will emerge, though, that we’ll pay some additional attention to. And those themes are going to be volume throughput, it’s quite a lot that we want to say about that, our cost make-up for the 6 months, what’s happening to electricity now and going forward, the social dynamic that is starting to also have its impact or that had an impact and how that’s being managed, and then also 1 or 2 things maybe about the political and regulatory reality within which we function. But let’s jump into the presentation itself and go to the key features for the 6 months. So the gold price has been very, very good. And that, I think, has brought some welcome color into these results. It’s enabled us to, for the 17th consecutive year, pay an interim dividend. This dividend matches the one of last year’s half year dividend, ZAR0.20. That’s on the back of strong revenues of just under ZAR3 billion, 12% increase; operating profit, increase of 15% to ZAR909 million. I would have loved to be in a position to say around about a ZAR1 billion. So I think that is a number we – internally, we’re thinking what may have been, what could have been. Production was down by roughly 7%, and I’ll elaborate on that as I go through the segmental analysis. Headline earnings on the back of both revenues and the increase in operating profit have gone up by 10%. And I think because of positive headline earnings, it’s just all the more compelling to again declare that dividend that informs the – to an extent, it’s one of the considerations when it comes to the decision whether or not to declare a dividend. We again played our part into the [indiscernible] with ZAR127 million going to revenue services in pay as you earn. You’ll also see in the detailed analysis, the tax position, we are paying income tax. All-in sustaining cost margin of roughly 19.4%. So the book price did help us there. And then pretty much right in the middle of the page, the main feature is being in a position to take advantage, not to the full extent of the potential advantage, but being in a position to take advantage of a very attractive gold price with a 22% increase in the gold price receivable, just under ZAR1.2 million per kilo this year or last year rather, was my 20th year with DRDGOLD, and I remember when I joined DRDGOLD, gold price was hovering around ZAR60,000 a kilo. So it’s a long time since then, lots of things have changed. I think the gold price is definitely now rebased and recoupled relative to a number of different dynamics that inform it. And we’ll talk a little bit about that as well later on if there’s time. Because our operations are by and large in the city, the amount of dust that comes off our various reclamation and deposition sites are important. We measure those very, very closely with, if I’m not mistaken, just over 290 monitoring sites and the exceedances that we saw there and those are exceedances in terms of the stipulated regulatory thresholds, those exceedances came down to 0.6% of the number of samples taken. So, less than 1% of the samples that we took registered an exceedance of the dust standard and by a larger relatively margin exceedance as well. So the fact of the matter is that DRD is putting very little dust into its surrounding communities. You no longer – if you live next to one of our tailings dams, you no longer have to wash your curtains twice a month as was the case I think 15 years ago when we started these programs to vegetate the permanent tailings deposition facilities and so forth and so forth. So it’s an important parameter for us as well. Looking at the operating trends. And here, we’ll elaborate a little bit more on some of the impacts that we dealt with during the course of the half year. So as you could see, just looking at Ergo’s operating volume trend from half year ‘23 to half year ‘24, see that volumes are quite a bit down. And that’s, by and large, a function of the fact that two large sites that we had wanted to commission during the course of last year already were delayed for a variety of reasons, and those only started early this year. Now in the past, including second part of ‘23, we were in a position – in fact, the bulk of half year 1 as well, we were in a position to make up tons from a number of legacy and cleanup sites. We spoke about that in the past, where we had between 6 and 7 legacy and cleanup sites at any given point in time where we systematically started working through those sites to take them to a point where they could be handed back for use, so where they were restored, cleared of all remaining mine waste. Now that process had to be accelerated when it became apparent that the overlap between sites that had become depleted and new sites that were supposed to come online at Ergo where that time schedule had become distorted because of these delays. So up until roughly October of last year, we were in a position to source quite a lot of material to make up for the lost times from those two sites. And the shortfall or the call from those two sites, roughly 500,000 tons a month, which we couldn’t source. So there was quite a big gap to fill with mechanical lifting and transportation and so forth. All of that ran out by the end of October. Those sites are clean. They’re down to what was referred to in the past as down to [indiscernible]. Now we just say down to red earth and there was 2-month gap while we were waiting for the two sites in particular to come online before we could resume full volume production. We’re in the process of ramping up production from these two new sites. And those 2 months were November and December. You’ll see in the letter that I wrote, we talk about how we managed to sort of keep up and do quite well up until early in November when those sites have just been cleaned up. Now of course, the advantage is that cleanup work with earthmoving equipment that was due next year and the year after, that’s all now being brought forward. The other advantage – I suppose, if one wants to see the silver lining here, the other advantage is that quite a lot of ounces that form part of our resource, our mineral resource, have simply not been mined because these ounces do not form part of that resource. So they certainly didn’t feature in our life of mine plan. So you sort of had substitute ounces that were unplanned. It’s now filled the place of ounces that we’re supposed to have come in earlier. And then would then have the effect that they are going to be mined later. They are not lost, they’re just going to be mined later and they’re going to be hopefully sold at a time when the gold price is even more favorable, so huge frustration not being able to sort of stick to the plan. But then at the same time, it’s not all bad. These aren’t perishable goods, gold doesn’t weather. So if you don’t mine it now, you’re going to mine it at some point into the future. And that will also obviously play a bit of an impact, will have a role on the TRS and we’ll update that as we go along. But just to illustrate that the stock difference in how high-grade material from cleanup sites had offset the lower volume. So whilst belt production is down 7%, the volume throughput numbers were down by 13%. So there’s a bit of disproportionality in the two, which indicates to you the extent to which there was a reliance on sites that didn’t form part of the life of mine. But we’re through that and we very relieved that we are, and we can now look forward to stabilizing these new sites. And you’ll also see that the guidance on costs, for example, is slightly lower than what the unit cost per kilo were for the half year. So we do believe that there’s going to be a slightly softening in impact. So moving on, sorry, that was a bit of a mouthful, but moving on, yield was also slightly down. The reason being that we did start mining one of the high-volume sites, so there were four sites that were supposed to come online as part of this transition. The first one did come online in November of 2022, the second in July of 2023, that was a very low volume site, thanks to Rooikraal and the other two only later on. And the slight dip in recovered grade was the impact of the high-volume lower grade coming in from Rooipoort and also, obviously, the mix and match from these various sites, but still a fairly good yield, slightly higher than planned, and that helped to offset the lower tons as I spoke about earlier. Production over the last 3 periods, illustrated there, relatively flat. And this is where what could have been comes into the equation. We went far away from matching last year. If either the sites had come online or if we didn’t run out when we did in October, we would have been within spitting distance of half year ‘23, but it is what it is. And as I said earlier, the gold price has been very good to help sort of close that gap that had opened up in that regard.
correct: So the volume trend there is encouraging and it’s going along nicely. The initial recoveries from Driefontein were slightly lower head grades as the topper sections were being opened up and face established in those sections were slightly lower. You would have seen in earlier communications, though, that we talk about the high shear agitator that’s now been launched or commissioned rather, it uses a bit of power, which also contributes to cost. But the impact of that, we believe, and based on early results, is actually quite good. We’re seeing some very nice improvements in recovery efficiency there. And the way it basically means is introducing a lot of energy into the slurry mix during cyanidation, it improves cyanidation bleaching and [indiscernible] has an explanation for those of you that are technical, that goes into the kinetics of the whole process and so forth. You’re more than welcome to ask him about that. Basically what it means is that more of the gold that’s in the mix now gets released, finds its way into solution and ultimately onto carbon. So production there was good, back to 663 kilos for the half year, up from the previous 6 months. So then, looking at the group operating trends, sharp dip in volume between the first 6 months and the – rather the last 6 months of – correction, the first 6 months of the calendar year and the period preceding that, and then a slight recovery with, as I said earlier, 2 of the sites coming on stream at ERGO. Also in the yield, I think, has been explained, still pretty good. The fact that we can get that sort of recovery out, and that’s testimony both to the high grades from these reclamation sites, these cleanup sites, but also plants that are running well. Our plants are being managed really well. Their efficiency factors are good, and I think the way that information is being managed is also assisting to keep them at relative stable state. So looking at production, pretty flat, half year-on-half year, but as I said earlier, 7% down relative to the comparative period of ‘23. So now the financial review and I’ll hand you over to Riaan to take you through some of the numbers. Thank you.
Riaan Davel: Thank you very much, Niel. Good morning everyone. As always, my privilege to take you through the financial numbers, just to provide some, again, context from my side. It’s really an exciting period for DRD as we’re building our gold growth story. And always when I talk about DRD, I get excited because we’re very sure of what we want to achieve in the long run with our purpose being reversing the environmental legacy of mining. And every time I look at the results and every period that passes, I can see a little bit more of that. And for me that is the theme. And you’ll see it through in the property plant equipment numbers, you’ll see it in the cash flow and I’ll emphasize that in the presentation. And then while we do that, while we’re setting up for the future, we’re also operating. And Niel provided that context. And just a big thank you from my side to an exceptional operational team that runs the business 24 hours a day, 365 days a year. That’s amazing to see, when there’s challenges, how the team reacts. And that’s become part of the DRD story, which I’m very proud of and also ably assisted to on the financial reporting side by an exceptional team. So thank you very much for that. As Niel has mentioned, we always present these results taking the first 6 months of our financial year in comparison to the first 6 months of last year. Because as everyone knows, we do have seasonal changes – well, seasonal rain and no rain, the winter, but also, for example, around the winter tariff that we pay in the winter months for electricity. So we always use that as a base. But it’s good to look through all the various periods to understand it. Niel alluded to our booklet, which is always prepared with great care. So I encourage you, other than just this presentation, to have a look. Then looking at the overall financial results with the context that Niel provided. And again, I’m generally comparing the first 6 months of our financial year ‘23 with the period that’s just passed, so 31 December, 2023. If you look at revenue up 12%, assisted, as Niel mentioned, by a 22% increase in the average rand gold price to ZAR1.173 million per kilogram. And in the context of the ERGO results, with tonnages down, gold sold was 8% lower than the comparable period in 2023. Then cash operating costs, as Niel alluded and just to recap, so continued reclamation of legacy and cleanup sites, together with double-digit increases in machine hire and contract reclamation costs, at resulted in a period-on-period increase of 12% in costs. And then with some gold inventory adjustments, leaves us with an operating profit, up 29% period-on-period to just over ZAR431 million, which again is a very solid contribution. And as Niel put it, and more-and-more, we look at it this way, this is just the financial profit number, which is very important. But together with that, we saw massive environmental cleanup. So if the environment had a profit number or a value number, that’s definitely a tick or a green block in that vast areas, where clean to red earth, as Niel mentioned, which is a great win and solid results from ERGO, with the 6 months looking ahead, as we communicated, large volume sites up and running, which is our sustainable business, large volume that we want to focus. On the Far West Gold Recoveries site, very similar revenue numbers in that gold sold was down by 8% period-on-period and also assisted by the same rand gold price increase of 22%, leaves revenue up 12%, up period-on-period for Far West Gold Recoveries. Cash operating costs looks more severe at face value, but very good reasons for it. So, up 24% period-on-period, with specific increase in reagent use, [indiscernible] particularly slime and steel balls, and dealing with the increased acidity and coarser material coming from the Driefontein 3 site. And then obviously, the electricity costs relating to Driefontein 3 is more than in comparison to Driefontein 5 in the comparative period. Niel mentioned the installation of the high shear agitators adding to costs, but in a good way that it will look to release more gold for us, which is why we’re after that kind of technology and then also for Far West, similar to ERGO, still continuous cleanup of the Driefontein 5 site, with [indiscernible] and diesel also contributing to that increase. So then looking at the operating profit, obviously with that higher cash operating cost increase, the operating profit up just 4%, period-on-period, still very impressive for the size of the operation and what the team is busy doing there still to contribute just under ZAR0.5 billion. Very impressive results overall. Then looking at the group financial trends, yes, operating margin, we see margin creep there, which is something that we manage on a daily basis and also in our long-term model is something that we look at closely. Obviously, we’re a price taker. We don’t generally hedge or fix the price of gold. So this is something that we continuously manage, but to have the margin still 30% is very healthy. And then the operating margin flows into the all-in sustaining cost margin, with our sustaining CapEx down 14% period-on-period, with that margin close to 20%, which is still very healthy for us. Then the highlight for me, as I’ve mentioned at the start of the presentation, and it may look negative, the free cash flow that we’ve generated for this 6 months ending – that ended December 2023. There’s such a good and exciting story behind it, and the main reason for that, and we’ll obviously talk to the cash flow in a while, was our capital expenditure, our increasing property, plant and equipment, up by ZAR687 million or 177% to almost ZAR1.1 billion. So what we’re doing with our cash and both the ZAR2.5 billion that we had at the start of this period, but also cash that we generate, is to set up that growth CapEx. And at the moment, that’s very exciting for us. Don’t think at the same time, but really exciting to see the business set up for decades to come. And then headline earnings per share, obviously, we still operate while we’re building our future business still a very solid ZAR0.68 per share and very much comparable to the 6-month period ending December 2022. And moving on to the income statement, the statement of profit and loss, as it’s called, hopefully, all of this will make sense now in the context that Niel sketched around operations and also the financial trends for both ERGO and Far West. Yes, obviously, revenue follows that trend, up by 12%, gold price up 22%, gold sold, down 8%, cost of sales with the cost increases, as we explained, up 11%, period-on-period, leaving us with gross profit from operating activities of just over ZAR762 million. Admin costs, some increases the on human capital spend, and also IT expenditures. Finance income in line with the previous 6 months still high cash balances that we carry and also growth in our environmental funds and some dividends received making up that balance and then income tax. Niel alluded to it, although this wasn’t a high and cash paying period for us from an income tax point of view. Based on the profit that the 6 months generated, there’s definitely an income tax number, changes in deferred tax as well, going through that line. And there’s also an income tax payable on our balance sheet, leaving us with profit for the period, up 10% to ZAR589.3 million. Moving on to the balance sheet with the statement of financial position, as it is now called. Again, I want to emphasize that first line. So, from a sustainability and long-term business planning point of view, for me, that is excellent reading, so more than ZAR1 billion increase, period-on-period, to that ZAR4.4 billion as presented. And that’s really encouraging to see. Non-current investments and other assets, next slide just shows our contribution still any rehabilitation growth, and also mainly our investment in [indiscernible], reflected at fair value. Cash and cash equivalents, yes, we’re using our cash, which is part of the plan. So that’s down period on period. But I’ll color that in with the cash flow statement. On the next slide and other current assets, just to explain that big increase, so that includes ZAR610 million prepayment towards our solar project obviously, as we order that, and it’s being manufactured specifically on the battery side, obviously as soon as we commission those and bring them into use, that will move up to the property plant and equipment line. But it’s all part of our capital expansion that we’re executing. Equity, nice increase period-on-period, provision for rehab. Obviously, we don’t go through full rehabilitation re-estimates at all tiers. It’s very much the unwinding sits there. Deferred tax liability will grow as we claim capital allowances. So it creates that temporary difference. And then current liabilities, the increase in increasing trade and other payables. And as I’ve mentioned, a current tax liability also recorded. So current ratio, so yes, not at the 5.4 previously but still a very, very healthy 3.7, as you can see on the slide. Then the statement of cash flows. I always say, for me, the most relevant, because ultimately we need cash to pay our employees, to pay taxes, to add to our property, plant and equipment, to pay dividends to shareholders, and very much forms the backbone of our reward structure on a short-term basis at DRDGOLD as well. So it is the most relevant for me and the one that is what it is, if I can put it like that, where other measures sometimes in accounting may be criticized. Cash flow is, I believe, as pure as you can get. Just briefly talking through that. Then cash generated from operations, stable period-on-period at ZAR600 million. Finance income received, yes, we still do carry large cash balance so that’s the finance income on our own. Cash dividends, as I’ve mentioned, mostly from Rand Refinery, very small finance expense paid. The bigger finance expense and income statement relates to the unwinding of the discount on our rehab liabilities mostly. And then, as I’ve mentioned, not a big income tax paying period from a provisional tax point of view. Obviously, that’s based on our 12-month forecast. We obviously look towards the end of June to revisit that position. And then again, to emphasize from my point of view, one of the highlights, so that we added, to property, plant and equipment in this period, more than ZAR1 billion setting up around our major projects. Mostly that’s relating to the solar. Then other big line item there is dividends that is reflected. There is our final dividend of ZAR0.65 that we paid in September as a part of this period. And, yes, so an overall net decrease in cash, with most of that being contributed to property, plant and equipment, or a big part of that, as you can see, leaving us with a closing cash and cash equivalent, still very healthy ZAR1.5 billion at 31 December, 2023. So, yes, moving on to the handover slide, before I hand over to Niel, share price, we had an exceptional 6 months of the calendar year last year. So up until May, June, with not as impressive second 6 months of the calendar year very much reacting to trends that we see in the gold index. But at this point, Niel, I’m going to hand over to you to please take us through the rest of the presentation.
Niel Pretorius: Thanks, Riaan. Yes, not as impressive is a nice way of putting it, but then I think that was pretty much the same for all of the gold producers. The markets were not kind to the gold stocks in the last 6 months of 2023. And interestingly, that notwithstanding the fact that the gold price held up quite nicely, and it was suggested to me during conversation that there is a new dynamic – a different dynamic that impacts this, firstly, the gold price, and secondly, the share price. In the past, when the West lost interest in gold because of higher interest rates and they started selling gold, there was no safety in it, nobody bought it, and it was in free fall. Now, whenever the West does that, there are a whole lot of institutions, there are several governments outside of that trading block, so to speak, or that alliance, so to speak, that are keen to reduce their foreign currency holdings in dollar, their dollar position and their foreign currency holdings, and they have been accumulating gold at a steady state. So gold price is determined, by and large, by or influenced to a very large degree by appetite for gold outside of the West, outside of London and New York. Whereas the price of commodity or the price of stocks, the gold shares, is very much determined by market sentiment in the West. And perhaps that’s the reason for the very significant disparity between what gold companies are producing in terms of profits and revenue and margin and so forth, and their share price. Compare that to some of the technology stocks, because that’s where appetite now lies in the West, especially with the seven large companies, Amazon, Tesla, Google, Meta, Nvidia and so forth, they have cobbled up a big chunk of investor capital. And as a consequence, because sentiment with regards to gold is bearish in the West, those shares are traded – those shares are disposed off or dumped, and notwithstanding the fact that they are trading at significantly better multiples to earnings, to EBITDA, to all the earnings that you can think of compared to the technology stocks. We’re not complaining though. We think that it’s probably a period for accumulation. At some point or another, it’s going to turn. I don’t think there is going to be a massive collapse. And sorry, I’m not the expert, but sort of just my own opinion. You go to these gold conferences and you listen to these profits of doom and profits of gold, and there is always talk about this massive inflation and fiat currencies collapsing and so forth. Maybe, maybe not. Fact of the matter is, doesn’t really have to be a significant swing. It’ll be a relatively marginal swing in market sentiment. And then you start seeing some of the outcomes that we saw in the first 6 months of 2023, where DRDGOLD was not just the best performing stock on the Johannesburg Stock Exchange between January and June, but also came second over 5 years, losing out to Gold Fields, which makes it bearable. It’s another gold producer that is a very well run company, and I think Martin and his team did exceptionally well and it’s well deserved, the place that they got. Would have been nice to see Harmony and Pan in 3 and 4 and maybe next year. I think we offer very, very good value as a gold industry in South Africa. And depending on what sort of risk appetite you have, what your expectations are from your investment, you could really pick any one of those four stocks and they won’t disappoint, not with the quality of management that they offer – that they present. So, moving on to the next slide, to our environmental social governance slide. It is a big part of our makeup, it’s a big part of how we think strategically. Simply said, this is a 100x in the past, you cannot do business in South Africa without being very aware of your environment, being very aware of society. You know we’ve been dealing with a whole host of issues in the last few years, including security, including logistics, including electricity and so forth and so forth. And I think what the private sector has done exceptionally well is closed the gap where services started failing or collapsing in many, many instances. We see private sector now also stepping into the Transnet logistics gap and hopefully we will have a solution for that. A very, very significant contribution in terms of renewable power over the last few years, while government acted only towards its own convenience, not adding 1 megawatt of power to the national grid. I don’t think I would be wrong in suggesting that the only development in that regard was generators at the house of the ministers. Private sector added 4 gigawatt of renewable power, that is now systematically also being introduced into the grid. So that’s how the private sector has responded to the situation. Now the next big challenge for South Africa, I believe, is going to be water. I think we are one drought away from a very serious issue with regards to drinking water, with regards to potable water. And in that situation or against that premise, I’m really, really pleased to see that we managed to decrease our potable water consumption by close to 60%. It will be a little bit higher in this period. I mean there are reasons for that, but we had set out quite a number of years ago to systematically reduce our usage of potable water, setting the not-particularly-scientific goal of reducing it by 10% every year to the point now where more than 95% of all of our water and most of our processed water, if not all processed water, is in fact recycled and gray. And we need to look after the sources of that gray water that curdled water. There might be some competition in that regard going forward when the taps and tanks starts running dry. So that’s very much part of our, let’s put it, our broader value pursuit and our interpretation of our risk environment and their initiatives in that regard as well. I spoke about dust emissions earlier on. Also rehabilitation, we mine – our mining is rehabilitation. So this sort of rehabilitation is really to do with final stages of rehabilitation. A big chunk of future rehabilitation, as I mentioned earlier, has now been taken care of with the lifting of – the floor cleaning of a number of legacy sites that are now clean. The vegetation of tailings deposition sites is also going along, Brakpan in particular, which is the larger one with an approaching urban sprawl. So there a lot of attention is going into making sure that we contain dust. The dam is also lifting as we speak. It’s an active dam. Obviously, quite a bit of attention there in and around the West of Central Rand. We think we’ve got dust under control. It’s been a long, long time since we’ve had a complaint in that regard. And if we do, it’s typically because of either an open road or because of a construction site nearby, something to that effect. So compared to where we were a decade ago, there is been a massive change in terms of quality of life, one which I do believe the outcome has been very, very favorable and in-line with what we had set out to achieve. So moving on to the next slide in terms of environmental value-add. It’s going to be interesting to see where that second line is going to be. Obviously, the consumption will remain pretty flat, but the carbon emission component is likely to start coming down over the next few months to the point where it could potentially almost halve with the solar plant coming on systematically. We’re pulling 14-megawatt off that plant as we speak. We are throttling back a little bit because we’re not in a position yet to feed back into the grid. There is an 88 kV line that will link up the solar plant with the Brakpan tailings, and then going into a series of substations from there into the Eskom grid. So we will have the full advantage of the 60 megawatts of solar power. We will be in a position to start taking full advantage of that from roughly the end of March, when we anticipate the construction of the solar plant will be done. And then, as I say, if the line is up and running at that stage and we can get billing sorted out, then we will have the full benefit of the 60-megawatt. The battery energy storage system, BES system, that is also now going to come in systematically, bit by bit. It should be finished by the end of October, but it’s not wait until the end of October and then we switch it on. It is also a modular system and it gets installed in chunks of a third each. So we will keep the market informed in that regard as well. But this slide is going to be an interesting slide, and its significance will not only be the consumption patterns, but also the impact that it’s having on both the environment and on the financial bottom line. So in terms of the safety performance and social performance, which includes safety, obviously, once again, we are very grateful that we managed to avoid serious injury and that nobody died in the performance of his or her duties. We’re also very, very thankful that there weren’t any instances of violent crime. Our security is – from time to time, they are getting shot at by gangs, especially in the Far West Rand. Hopefully, one day we will, as a nation, start taking measures against that and eradicate crime in that area. But for the time being, our stance is one of taking all reasonable measures to protect our staff, but for the fact that they were driving in armored vehicles, this could have been a serious incident. So this is the life of a security officer in the mining industry in South Africa today, dealing with illegal miners and with copper thieves. And they are having to be protected at a level that none of us envisaged a few years ago. So quite a bit of money still going into employee training. Women in mining stayed at 24% and HDSA and management, 74%. A lot of clever young people coming through the ranks. So exciting times ahead as we start moving – redefining the extent and scope of various senior positions and starting to bring some of our young talent into strategic decision making and senior managerial roles. So moving on to the next slide, water shortage solutions. This is something that we’ve been talking about now for quite some time and it’s lovely to see how our Broad-Based Livelihoods program is still continuing to grow. It’s a process that’s intuitive, it’s very easy to scale, it grows exponentially. And the interesting part of this, and this is how one brings, let’s call it, the sort of overlapping broader value pursuit into these endeavors, is that finally, this is now also starting to play a role in our operational community interface where an established relationship with a community is assisting in community interface. And I’ll talk a little bit about that in the looking-forward slide on some of the social dynamics that we experienced in the last 6 months. And I think finally, we could now demonstrate, with reference to what we see here, how social investment impacts the financial bottom line as well, where in fact, there is a compelling commercial rationale. If your key driver in terms of business is commercial rationale and commercial outcomes, and you’re looking for a reason why you would want to invest in social capital and assist communities becoming increasingly self sustainable and take that first step out of abject poverty and become more independent along some of the programs that would be launching, if you’re wanting to find that argument, here it is. It’s that network that assists you and that facilitates consultation going forward when you need it most, that you’re not just a face showing up and wanting to impress, not really understanding what the social dynamic is for the community that you’re interfacing with. So on the next slide then, looking-ahead slide. So based on the outcomes of the first 6 months and particularly the last 2 months of those 6 months, we’ve deemed it fit to not adjust our guidance, but to, at the very least, qualify it and say that we seem to be trending even with a recovery towards the end of the year, we seem to be trending towards the lower end of guidance. The sites that were delayed are in the process of ramping up, process of being taken to steady-state and typically it’s between 6 and 12 weeks that it takes to really get all systems to go. But they are running, they are contributing and we’re seeing the effect already as we speak. And as a consequence, we also deem fit to guide our cash operating costs down from what the average cost per kilo were for the 6 months, down from ZAR814,000 to ZAR800,000. So we expect to be producing at lower than ZAR800,000 per kilo for the remaining 6 months, and then also revised capital investment for the remainder of the year of ZAR3 billion. So we are about halfway through CapEx for the solar. There is about ZAR1 million or ZAR1 billion debt rather in that regard, a big chunk of which is being committed. And then, of course, we’re also hoping to start the Far West with the RTSF anytime soon now. At Ergo, looking forward to the commissioning of the solar plant. As I said earlier, construction of the solar plant itself should be done by the end of March, the BES by the end of October. And as and when the system gets linked into the national grid, that 88 kV line is incorporated into the national grid, we will have the full benefit of that, ramping up of those tons I referred to. So 4L3 is the site where a water usage license that we had hoped to secure late in 2022, or at least early in 2023, only came about in January of 2024. And I’d just reiterate it once again, the fact that this is an exceptionally complex regime that these officials are having to deal with. It’s a regime that’s not necessarily proportionate to the site, it’s not site-specific, or it doesn’t discriminate between sites. It’s a general set of rules that is applied in respective of all sites. And the consequence being that you’ve got to jump through so many different loops, the amount of paperwork that needs to get compiled and submitted in order to get finalization, and every time that there is one little thing wrong, then you basically add 6 months to the process. So we’ve had to up our game fairly significantly in terms of the amount of detail that we submit upfront. Fortunately, the environment has become – between 2018, when this process started until during the [indiscernible] of last year, the environment in which we function has definitely also improved. In 2018, you wouldn’t get a meeting with an official before submitting an application for a water usage license. The position – the stance was, submit your license and we will tell you as we go along what you’ve got wrong and what we need in addition to what you submitted, and then you happily fetter along for the next 2, 2.5 years, answering questions and doing it one at a time, adding 6 months every time. That’s changed. That’s definitely changed, without a doubt. We saw in our interactions with the department on the RTSF and the Far West Rand that very senior officials are quite prepared to engage with our teams early on, give them a sense of what it is that they expect to see, give them a sense of indication, obviously a non-binding indication of whether we’re on the right track. And all in all, while that hasn’t detracted from the complexity of the process, I think the relationship, the working dynamic is definitely completely different compared to what we saw in 2018. And moving on to the next topic of Far West Gold Recoveries, it is as a result of that, because of ongoing and recent conversations with the regulator, that we do believe that we should be able to stick to our time lines, that we should be able to get going on construction anytime soon. Both dam safety is involved as well as the licensing part. Here we’re not applying for a license, we’re applying for an amendment to the license. But dam safety really is the catalyst to give us the go ahead to start construction. And we do believe, based on the latest conversation that we’ve had with them, that we’ve ticked all of their boxes, literally boxes that get ticked, amongst other things, plus submit very substantial evidence and material on the construction, the design, the safety parameters, etcetera, etcetera, and that we should get the go ahead there anytime soon, bar anything unexpected. In terms of the longer-term, looking ahead, obviously, we don’t want to have another situation like the one that we had in 2023, where we were delayed between 6 and 8 months in the commissioning of sites and then delayed basically from when we really need that site, not delayed from when we initially targeted to have the site online. So it’s obviously important that we take a look into – that we learn from the experiences of the past and something that is a bit of a concern. And it’s the first time that we’ve really had this to the extent that we did was the social dynamic. Now, you would say, but you just said that you have these wonderful relations with communities and you have – and you – and that is a basis for your consultation. That is indeed the fact. I don’t know what the situation would have been, but for the fact that we have these elections, because the stark reality for many of these communities is that they have been let down to the point where they don’t really have anything. They don’t have services, they don’t have jobs, they have very poor healthcare, their schools are a shambles, their infrastructure and logistics are a shambles. There are no trains. So for those lucky enough to have a job, you’ll see a third of your income getting eaten by taxi drivers and so forth and so forth. So when they do see any sort of development, when they do see any kind of opportunity for economic involvement, then everybody wants to be involved. And it’s – I don’t know if it’s sad or what it is that one’s supposed to experience when this happens, but if you have social unrest and people are saying, we will not let you do anything unless you give us a job, so rioting in order to get a job, that’s desperate, that is desperation. And of course, if you combine that with criminal opportunism, sometimes with very strategic relationships and suddenly so-called community representatives and counselors, for that matter, from time-to-time, they step into the fray and they just make it very hard for you to go ahead, especially when there are representatives involved. And I want to make it very clear that I am not talking about the construction of a pipeline. This has got nothing to do with the licensing. There is not even a suggestion of what I am about to say when it comes to the licensing process and that I believe the standards of governance that we are witnessing are beyond reproach. But at this local level and at this community, so-called, representation level, there is always sort of an indication that maybe there is a way that we could solve this problem. This problem can go away, and you have just got to bat through that innings. And ultimately, I think the realization sets in that there is not going to be anything funny here. This thing is going to go its course. There won’t be any departures from corporate governance. So, we need to anticipate those, going forward. We need to engage early on. That means that the makeup of your senior management is now also different. This is not sort of a side issue that somebody can go and deal with from time-to-time. You really have the community engagement by prominent, dynamic members of staff that have gravitas to deal with these situations and to convey our message into these communities. We will never, for as long as we can, stop investing in our corporate social programs. And we will always invest towards sustainability. We will always invest away from creating a culture of dependence, of creating more dependence, and always towards becoming more and more independent and self sustainable. But it’s a program that’s become sophisticated, complex, and we need to keep a tab on that, so lots to do. We are very pleased that we are positioned the way that we are in terms of volume, throughput, capacity, that’s been restored in terms of where our cost profile is likely to go now, not having to rely as much as we did in the past on these machines. We are excited about the impacts that our solar plant is potentially going to have on our production going forward. We have a vision that we are going to be driving with a very specific future date, 2 years into the future, 3 years into the future, and we are going to be bringing some of the more senior members of management and experienced members of management to drive that process, at the same time, as I have said earlier, creating some opportunity for upcoming talent. But we want to make sure that we deliver into the next round of major capital projects. We want to make sure that we build this RTSF and have it up and running when it’s due. We want to increase the plant size of Far West Gold Recoveries of Driefontein 2. We will double the size there, link up their entire infrastructure, commission our solar as and when at Ergo, there is a cluster of dams that need to come online in roughly 3 years from now, that’s going to be up and running. At the same time, we need to increase the size of the Withok tailings dam. We will get that commissioned. So, lots to do. And with the platform that we have established now, albeit a little bit behind time in the biggest scheme of things, it’s really not going to make that much of a difference over 5 years or 10 years or 15 years. But with that behind us and with this as a very, very solid platform, it’s go time to make sure that we get those things put in place and that we set ourselves up for the next phase for this business and that we do not leave any value behind if it is preventable. I think that is the presentation. Yes, that’s everything. So, there will be an opportunity to ask questions, and that will be both myself, Riaan and Jaco, we would be happy to take your questions. Thank you for dialing in and thank you for listening. Riaan, are you guys able to log back on, I just see you, I have been talking. I was a little bit worried now that I was talking to myself.
A - Riaan Davel: No. All good. And I see there are currently no questions that have been posted.
Niel Pretorius: Okay. Well, then that must be the quality of the presentation, Riaan. Well done to you and the team. Thank you. Any final comments from either you or from Jaco?
Riaan Davel: Sorry, Niel, there is one, if you have a look there, that has just come through.
Niel Pretorius: Let’s see. Oh, yes. So, I did say in the letter that we will elaborate on that by the end of financial ‘24. All I want to say at this stage is just that we are looking and if there is something to report, then it will be around about the end of financial ‘24, end of July. If there is anything before that, then obviously we will. But we do want to see if we could take this methodology, this intellectual capital that’s been established over time, if we can apply it a little bit wider than what we currently have. That seems to be it. No, there is another one. There is another one. Please share more details about lodging an appeal proceedings by community forum. Okay, so basically, look, what that involved was when a license was issued in 2022 to start – that would enable us to start mining a particular site, there were a number of mostly commercial demands by what we believe was inspired, maybe not by the community, but by an influencer over that community. So, an appeal was lodged which would suspend the license until after the appeal has been heard. The Minister of Water Affairs has the authority to lift the suspension if you could submit compelling reasons. And we have submitted that request, and the Minister did indeed then lift the suspension. So, maybe I could just comment on that. So, water usage license is not – you don’t just show up and say, I want a license, and they hand it over the table. It’s not like taking out a dog license. But once they have issued it, they have gone through such an extensive process of checking and double checking it that they have confidence in the integrity of that license. So, when an appeal is lodged, and unless there are compelling reasons for that license to remain suspended, they would lift the suspension, and this is what we saw here. So, very pleased about that. And then in terms of the community concerns that prevented construction of the pipeline. So, there are two sets of concerns. On the one hand, there is the genuine concerns of community members who are pleading for a job, and then there are other concerns which aren’t really concerns, they are really just threats that are dressed like concerns. On the one – the latter, you get from so-called representatives, and the former you get from community members. And what you would have seen, what was done in terms of this pipeline construction is there was a little forum established. In fact, we have got several of these with a solar farm. I think there were about 250 community members who in some way or another participated in the construction, ongoing maintenance, and also, in terms of the cables that were erected, about 250 community members. And obviously, you work to now also with – going forward, that somebody is going to look after the solar farm. So, there is ongoing opportunity in that regard. But here, the former concern of, please just is there an opportunity for us to earn some sort of an income, there was an initiative established involving earth-moving because this pipeline had to be buried during certain sections of area where it was better to have it as underground. So, that was accommodated. We didn’t accommodate any of the other concerns. The other sort of extortive concerns weren’t accommodated, and then that’s what added time to the whole process. So, Nick, your question, looks like you are going into debt soon, hopefully not. But obviously, we do envisage taking out some cover in the event that we need to draw down to maintain – to hit the targets that I think you understand better than most. And we want to see if we can hit those targets. It features prominently in our conversations. So, this is how we feel about dividends during periods where there is debt. If we make a loss, we won’t borrow money to pay a dividend. But if we make a profit, if we are generating good cash flows, and if we make a profit, because of the quality of these projects and because of this short time horizon, before we start seeing upside and benefits from there, if we do take a bit of project-associated debt, then that won’t get in the way to develop, if we are at the same time also generating healthy profits and if we are cash positive. We would have been cash positive, but for the fact that we have project strategic capital expenditure. So, we do want to maintain this run rate. So, 17 years, it is a long time, and with every year, it becomes more and more important that you want to maintain that. We would love to be to get to 20 years, but as I have said, if we make operating losses, we won’t borrow money to pay dividend. We got to be – we got to make profits to pay dividend. So, Juan Lundgren, you are asking, can you give an estimate of cost savings. That’s all we can do at this stage, an estimate. What we would rather do is there are going to be a series of webinars over the next few months. The first one is on the 7th of March. And then we will be discussing the changeover of the five sites that closed or the three clusters that closed and then the new sites that came onboard and how that’s repositioned us. And I will just give you a little bit more detail and color on that. There will be a second and third webinar, if the first one is a success, where we really want to go into some detail discussing the effects of the solar plant and how that’s positioning us now with respect to our cost profile, but also how it’s setting us up for the future. So, that’s the solar plant. And then we also want to do a deep dive with the RTS or what’s always called Phase 2. It’s a lot of capital that we are going to be spending there, investing there. And the TRS paints the entire picture. So, we really also want to get into some detail there. So, look out, around about, let’s call it June, July for the first and then the second one a few months later. And then we will be in a position to say to you exactly how much. I don’t really want to deal with estimates because at the moment for six hours a day, if you factor out the capital that we have invested, it’s really just the O&M costs associated with a solar plant and that 14 megawatts is what the plant needs. So, for six hours, the plant is running off the sun. It’s going to have an impact and a fairly significant one. Once the base is up and running, then there is a very real chance that we pass peak tariffs because we would be able to charge with using both solar and off-peak and then discharge during peak. So, it’s a complex cost dynamic and rather than give you estimates, we will rather give you the actual numbers once we have run a few months on full capacity. Jaco, are you comfortable with that answer or do you want to add anything to it?
Jaco Schoeman: I think it’s a good answer. Thanks.
Niel Pretorius: Salma Khan [ph] is asking if a transcript of the session is provided. Not a transcript, but I think it is recorded, so you will be able to listen to it. And then the presentation is on our website. So, Brendan wants to – Brendan is asking, what do you mean by operational and corporate complexities delaying your plants to diversify at Sibanye? So, Brendan, what it basically means is that Chrome and ownership of Chrome in that area is extremely complex. I think there are three different companies that own different percentages of the same ore body. So, you mine an ore body, it’s got PGEs in it, and it’s got Chrome in it, and then different companies own different parts of the upside. And exactly how they divide that up, I don’t quite know. So, it’s very difficult if you are building a project that spans over several kilometers and there are dumps from different sites that originate from different Sibanye subsidiaries, where there are different associations and relationships, both in terms of minorities and also with regards to other companies. It’s very, very difficult to say, well, this is how this piece is going to be divided up. That’s the first instance. And then the second instance, which is closely related, if you are dealing with three or four different sets of minorities and other interest group, what does your corporate structure looks like, what does your corporate structure look like, so it’s not an imagined complexity. It’s really something that we are trying hard to sort of decipher and land on a solution. But you have got several people around the table, and not everybody is willing to wait and to have the benefit of a long-term relationship. Sometimes, premium upfront also sort of pops up in the conversation. And we are not premium upfront people, not when it comes to waste treatment. So, I can tell you that both us and Sibanye are working hard and in good faith towards finding a solution for this. And it’s going to get done. There is no doubt it’s going to get done. It’s just when, because this is also a very busy time. And you have got to understand also where projects feature in terms of priorities and so forth. But it’s a good project and it will work, provided that we can sort all of those out and provided we don’t distort the market. Yes, Juan, I am not going to be able to give you a comment on how savings on costs have been factored in at this stage. Solar has been very little that I can tell you, and trucks also. So, we are hoping to sort of see how that pans out and then that will feature more prominently. The only real dynamics that we have considered up until now, really, is the higher tons and the effect that, that has on diluting the fixed overhead and the unit costs. Nick is asking that CapEx spend target has reduced by nearly 20% in less than six months. Is this an indicator of how the really large CapEx targets you have set will go? I hope not, Nick. I really hope not. I am hoping that now that we can spend more time, and if I say more time, sort of at the right level of management, dedicating more of their time towards these things, I am hoping that, that won’t be the case both internally. But then also externally, remember, there has been a massive logistics issue at our harbors and our ports, and a very, very large component part of the equipment that we are sourcing has to come through harbor. So, our management and our engineers have had their hands full to get stuff through harbor. So, yes, I am hoping that this is not an indicator, but some of the work that’s going to be happening going forward also, when you talk about construction, you are not waiting for something to come through a harbor in order to move on construction. You move, it’s something that you do physically. You are just going to maintain the rate. The supplier of our liner, which is a very, very major item for the construction of the RTSA, that’s a local supplier, not quite sure what the position is with regards to the resins and other components, but I do know that, that supplier is local. But I think a big chunk of the lag in capital spent up until now, considering that the biggest part of our capital spend up until now has been on the solar, a big part of that lag is because of clearing stuff through Durban and East London and Maputo and Walsh Bay. And everybody knows where there is a harbor, then you would be getting something through it, and then on the truck and then to Joburg. Nick, your second question also, at this stage, we are expecting that there should be a reduction, but we will know when we know. It’s very hard to make an absolute prediction on what the absolute reduction in costs are going to be. We can estimate it, but to take a guess, I am just going to have to explain it afterwards why we got it wrong. Riaan, you are going to have to help me on Juan’s question, the next one, to clarify, does it mean your cost estimate does not consider any positive effects from the solar plant? I don’t think we have factored in much in terms of the solar plant. I think it’s really based on volume throughput and the fact that we are back to sort of high volume sites, if I am not mistaken.
Riaan Davel: That’s right, Niel. And as we commission in now various parts of the solar, it’s very difficult to factor the saving into account. But I do recognize Juan’s comment and we have discussed it and you elaborated on that is that at some point, when everything is set and up and running, we need to provide that detail to the market. That is really important. We are investing significant capital. We believe it’s a very good project, but we haven’t distilled all that detail, which is important and we will at the right time do that. So, we definitely take Juan’s comment seriously. And as you have said, we will set that up and we will provide that detail in due course.
Niel Pretorius: Juan, I just wanted to echo that. I mean it’s not that we haven’t done the work, that we are not sensitive to legitimate expectations of our investors. We just want to make sure that when we do give you the numbers, that they are the numbers. And as I have said earlier, I am not quite sure the extent to which, for example, how effective the avoidance of peak spend to be, what the real impact of that is going to be, the extent to which we will be able to start wheeling back into the grid because there is a third-party involved here as well, the extent to which that is facilitated. What we do know though is the solar plant is working. When we started that plant that is running at designed capacity, maybe even a little bit better, Jaco, when that first line or that first line came onboard, we were hoping for 6 megawatt and I think it was sort of registering just under 7 megawatt. And we now are now pulling 14 megawatt off that system, which is way beyond what it’s capable of delivering. But that is how much we can feed into the project as we speak. So, we know it’s working. We have confidence in the team that’s constructed it, the technology that they are using to monitor its operation. It’s good technology. It goes into very intricate detail to give them proper analysis. So, we are very keen to give you these numbers. But we do want to make sure that we give you the actual numbers. And it will be interesting to do that also in terms of the cash flow statement. Obviously, you have got your balance sheet where the Sun Capital where that plays a role. But it will be interesting to see just how much less do we spend on a month-to-month basis now that the Sun is providing most of our power, or half of our power. So, I have skipped over one. Are there any regulatory changes that potentially have an impact on the operations? Not that I am aware of. I know that there was talk a while back with regards to provision for rehabilitation, but I think that’s been deferred. So, there is nothing that we are factoring at this stage. We are planning to the regulations as they currently are. Yes. So, Brendan, we are looking at other opportunities where we can leverage existing infrastructure and then also looking further than that into sites that are beyond our existing infrastructure. Not massive, but we are sort of poking around it. Yes. Juan, I am really going to try and sort of just in terms of the numbers that we offer really, give you numbers where I don’t run the risk of having to explain afterwards why we got it wrong. So, we planned the projects. The project has a very interesting and robust NPV. If you look at the way that the NPV is calculated though, then there is one portion that is attributed to the subsidiary that’s generating the power, and then another portion of the NPV that’s attributed to the company actually using the power based on its savings. So, these are calculations based on accepted theory. So, to release those numbers will mean that it’s a few months from now we will explain to you why the methodologies that are used for valuation and why the actual numbers, why they differ. So, please, if you will indulge us and just be a little bit more patient with us so that we can give you the actual performance numbers. And then what we will do, and this is the undertaking that I give is that we will take one month. We will take, let’s say, the first month that this thing is fully up and running. And we can do it sort of in two. We could do one before basis up and running to the full potential, and then one after basis up and running to the full potential. Because I know this is important for you to do your calculation. We will say, for arguments sake, and I am sort of now creating an implied expectation, but let’s say July. We will take July of 2024 and compare the actual amount spent on electricity with July 2023. And that will be an apples-for-apples calculation. But no balance sheet movements, no provisions, no deferred, anything, just this is the size of the check in July of ‘23, this is the size of the check in July of ‘24. And this is the number of units that we actually consume. And this is the number of units that we consume back then, because there are always these little bit of interruptions as well. So, I do ask you if you could be a little bit patient with us. We ask for your indulgence. Yes. The answer to your second question is, yes. We are scheduling a solar plant webinar, without a doubt.
Riaan Davel: Yes. I will just say that – sorry, Niel, the one number we mentioned in our integrated report that gives a very high level estimate is ZAR9 a ton saving over the current life of mine, approximately. I mean we need to build out on that. And as you indicated, we will.
Niel Pretorius: And hopefully, when we do this presentation, we will be explaining that why it’s ZAR10 a ton and not ZAR6 a ton.
Riaan Davel: But that is always the challenge.
Niel Pretorius: Yes. But yes, we will have an extensive webinar on that or a detailed webinar on that. So, thank you for indulging us. Alright, we seem to have reached the end of the questions. Thank you very much for your patience. Thank you for dialing in. Thank you for your support. Hopefully, next time we come together, we are in a position to give you an account of how we had delivered on the expectations that we create for the forthcoming period. So, thank you very much.
Riaan Davel: Thank you, Niel. Thanks so much.